Operator: Good afternoon, and welcome CV Sciences Fourth Quarter and Full Year 2020 Earnings Conference Call. All participants will be in a listen-only mode. After the presentation, there will be an opportunity to ask questions. Please note, today's event is being recorded. I would now like to turn this conference over to Ms. [Elisa Dunn]. Please go ahead, Ms. Dunn. You may begin.
Unidentified Company Representative : Thank you, and good afternoon, everyone. With us today with prepared remarks are CV Sciences' Chief Executive Officer, Joseph Dowling; and Joerg Grasser, Chief Financial Officer. I would like to remind you that during this call, management's prepared remarks may contain forward-looking statements and management may make additional forward-looking statements during the Q&A session. These forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from those anticipated by CV Sciences at this time. When used in this call, the words anticipate, could, estimate, intend, expect, believe, potential, will, should, project and similar expressions as they relate to CV sciences are as such a forward-looking statement. Finally, please note that on today's call, management will refer to non-GAAP financial measures in which CV sciences excludes certain expenses from its GAAP financial results. Please to CV Sciences press release from earlier today for a full reconciliation of its non-GAAP performance measures to the most comparable GAAP financial measures. This afternoon, March 18, the company issued a press release announcing its financial results. Participants on this call, who may not have already done so, may wish to look at the press release as the company provides a summary of the results on this call. The press release may be found at www.cvsciences.com. Following the prepared remarks, we will open up for a Q&A from the analyst community. I would like to now turn the call over to CV Sciences' Chief Executive Officer, Mr. Joseph Dowling. Joe?
Joseph Dowling: Thank you, [Elisa]. Good afternoon, and thank you for joining us for today's conference call. We hope that you and your families are staying safe and healthy in these challenging times. 2020 proved to be a very challenging year for the company and our industry, predominantly due to the impact of COVID-19. The year-long COVID-19 pandemic created significant headwinds for our retail customers, intensified competitive pressures and extended the regulatory uncertainty we have discussed on previous earnings calls. I am proud of how our company responded under such difficult circumstances, adapting quickly and continuing to provide uninterrupted service to our customers. We are privileged to have a committed and dedicated team of employees to deliver daily upon our corporate mission and strategy.  Innovation and quality remain our primary areas of focus: underscoring the competitive advantages of CV Sciences, and creating a strong platform for long-term sustainable growth. We introduced several new products during the past year, including our first 2 immunity products, CV Acute and CV Defense in the third quarter. Consumer demand for immunity products surged in 2020 due to COVID-19, reflecting heightened awareness of the long-term value that these products will provide for daily health and wellness. We are encouraged by strong science behind our products and believe we are in a good position to drive future growth in the immunity market, which in North America alone, is estimated at over $4 billion annually and growing at double-digit rates. In the fourth quarter, we introduced PlusCBD Pet, a full line of hem extracts formulated exclusively for dogs and cats. The opportunity in the pet market is also very compelling for CV Sciences. This market grew an estimated 75% in 2020, and is projected to increase at approximately 25% per year through 2025, reaching $1.7 billion annually as pet owners increasingly turned to natural alternatives to address a wide range of ailments for these much-loved family members. In the last 90 days, we launched ProCBD, a full product line of clinical strength CBD products available exclusively through health practitioners. This science-based product line enables us to target the rapidly growing interest by consumers and practitioners in natural, plant-based alternative medicines. ProCBD is the only high-strength CBD product line on the market that is supported by published investigations, randomized controlled clinical studies and post-marketing safety review. New products and refreshed packaging helped us significantly expand the breadth of our distribution in 2020. We ended the year with over 7,300 retail stores carrying our products. Importantly, a significant portion of the net store additions came in the fourth quarter. A sharp acceleration from Q3, strengthening our position as we entered 2021. Consistent with our strategy, the FDM channel continued to account for the majority of our store growth during 2020. And we continue to make progress on our expansion into the convenience store channel with the third quarter introduction of our value product line happy lane. We anticipate announcement soon on distribution expansion in the c-store channel. Our direct-to-consumer channel remains a core element of our continued growth strategy, including our investments during 2020 and going forward. We have been building out our digital capabilities to strengthen our competitive position while also mitigating the impact of external pressures, including low barrier to entry by thousands of new competitors in a very under-defined regulatory environment. Our 2020 investments in SEO and development of our affiliate and auto ship programs have resulted in stronger website traffic while effectively managing customer acquisition costs. The net result is a DTC channel that is well positioned for continued profitable growth while having a closer relationship with our customers, understanding what triggers purchase behavior, and gaining valuable insight for new product development. Sales in our DTC channel accounted for 35% of total revenue during the fourth quarter, up from 24% in the fourth quarter of 2019. For the full year 2020, DTC channel sales represented nearly 32% of total sales compared to under 19% in 2019. To summarize our product development and marketing efforts during 2020, we refreshed the packaging on our flagship PlusCBD-branded products and we have received great market feedback from distribution partners and customers. And we launched 3 new brands and 50-plus new or brand refresh SKUs across multiple sales. We believe these efforts effectively position us to be at the front of this developing product category and industry. On the regulatory front, we continue to work with a diverse group of Washington, D.C. stakeholders that are advocating for CBD regulation, oversight and enforcement. For example, CV Sciences' staff have been working with the National Institute of Standards and Technologies on the Cannabis Quality Assurance program to improve the accuracy and capability of cannabis product testing in laboratories. Having robust laboratory methods and standards supports industry transparency and protects consumers. In addition, we have successfully reintroduced the hemp and hemp-derived CBD Consumer Protection and Market Stabilization Act of 2021, H.R.841, which has energized the CBD regulatory conversation in D.C. This month, the United States Department of Agriculture published the U.S. Domestic Hemp Production Program Final Rule, which provides the regulatory framework for U.S. hemp farmers. This rule goes into effect this Monday which is a good reminder of how young the U.S. hemp industry is and that we have yet to see what a mature and regulated hemp industry will look like. To support the expected surge in hemp farming and consumer demand for CBD, Congress has made it clear that the FDA must act quickly to provide legal clarity and to establish a regulatory framework to open economic opportunities for farmers and businesses in a way that protects consumers by eliminating the availability of unregulated CBD products.  We remain confident that FDA enforcement of CBD dietary supplements will occur and be a significant growth catalyst across all sales channels, allowing only the most credible and trustworthy companies like CV Sciences to compete effectively. Now I will move on to our drug development program. As discussed on previous earnings calls, we received formal notice of issuance from the USPTO for our drug patent on May 19, 2020. Also, in December 2020, we received notification from the Japanese patent office that our patent was granted in the Japanese market. We are continuing our patent prosecution in major world markets. And our success, as evidenced by the U.S. and Japan patent grants, provides strong validation for our program. We have completed our pharmacological and toxicological studies in support of our planned Phase I clinical study. We continue to work through global operations and logistics impacted by COVID-19. And as a result, we do not have a guidance date for commencing a Phase I clinical trial, yet. However, we are starting to see improvement in global drug development operations that impacted our program due to COVID-19 as we continue to move this program forward. We believe strongly in the potential success of developing an effective therapeutic for the treatment of smokeless tobacco addiction. We know this is a big worldwide market. Conservative estimates start at $2 billion. There are very few treatment options that are effective, and we are looking at all options to move this program forward, including partnering. Before I turn it over to Joerg, I want to reiterate our confidence in the continued development, expansion and regulatory environment of the CBD, and the cannabis industry generally. We believe the current administration and Congress have a big opportunity to responsibly advance our industry. And we will continue to work on that goal with members of Congress and with our industry partners and colleagues. We are confident that the current headwinds, including the COVID-19 pandemic, the competitive environment and regulatory uncertainty will resolve. A more normalized and sustainable competitive environment will evolve and the most trusted and respected companies like CV Sciences will thrive and be at the forefront of this growing market. Now, let me turn it over to Joerg to run through our financials.
Joerg Grasser: Thank you, Joe, and good afternoon, everyone. Our fourth quarter revenue was $5.2 million compared to $9.3 million in the fourth quarter of 2019, and was down sequentially from $5.6 million in the third quarter. On a year-over-year basis, we continue to be impacted by factors related to COVID-19 as well as competitive dynamics related to regulatory uncertainty. The sequential decline from Q3 was concentrated in our retail channel. Our sales and business development teams were pretty busy. We had a significant increase in retail distribution during the fourth quarter, putting our year-end store count at 7,346 retail locations, a 32% increase over the fourth quarter of 2019. The FDM channel accounted for much of the increase as we ended Q4 with 4,332 stores in FDM, up 1,243 stores from the end of the third quarter. Direct-to-consumer revenue represented 34.9% of total revenue in the fourth quarter compared to 24.4% a year earlier and 33.1% in the third quarter of 2020. E-commerce revenue was down 20% on a year-over-year basis in the fourth quarter of 2020, mostly related to price reductions we took earlier in the year. On a sequential basis, our DTC revenue was consistent with Q3. As Joe outlined, we made good improvements to all of our main digital KPIs, including website visitors, which have been training upwards across all of our websites since the start of the pandemic. Gross margin for the fourth quarter of 2020 was 42.7% compared to 44.2% in the third quarter and 44.5% in the fourth quarter of 2019. The decline in gross margin year-over-year is mostly related to our lower volume and also reflects the impact of our price reductions. SG&A expense for the fourth quarter was $11.4 million and included the write-off of a tax receivable of $6.2 million associated with the RSU settlement of our founder. Excluding this write-off, our SG&A expense for the fourth quarter actually declined sequentially, and on a year-over-year basis. So the Cline reflects our ongoing efforts to reduce our cost structure, and we are in line with our target of $10 million of annualized savings that we first outlined at the end of the first quarter of 2020. We also made improvements to our adjusted EBITDA. Adjusted EBITDA loss for the fourth quarter was $2.2 million compared to $2.3 million in the third quarter and $4.2 million in the fourth quarter of 2019. The improved adjusted EBITDA loss is a result of our continued efforts to minimize our cash outflow. On a GAAP basis, we reported a fourth quarter 2020 net loss of $9.3 million or $0.09 per share compared to a net loss of $3.2 million or $0.03 in the third quarter and a loss of $6.7 million or $0.07 per share in the fourth quarter of 2019. Let me now turn to our balance sheet. We continue to manage our cash position very carefully and ended the fourth quarter of 2020 with $4.5 million of total cash compared to $9.6 million at the end of fiscal 2019. Cash used in operations during 2020 was $7.3 million compared to $2.2 million in 2019, reflecting higher net losses partially offset by improvements in working capital and other factors. In December, we entered into a stock purchase agreement to issue and sell up to $10 million of our shares through December 31, 2021, to provide us sufficient access to cash in order to grow our operations. Inventory was $8.8 million at the end of the fourth quarter compared to $10 million a year earlier as we continue to focus our efficient cash management. Entering 2021, we have the financial flexibility to continue executing our plan and look forward to improving trends as the year unfolds. Now I will turn the call back over to Joe.
Joseph Dowling: Joerg, thank you. We are confident in both our consumer product and drug divisions and that our growth and development aspirations remain a valuable and realistic opportunity for the future. We believe that current headwinds will gradually abate. We believe that regulatory progress can be made, including in the broader cannabis market, which is significant and something we are looking at. We will continue our commitment to safety, quality and science-backed product innovation, all of which we believe is a winning strategy. With that, we can start the Q&A. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Mike Grondahl with Northland Securities.
Mike Grondahl: Yes. Could you give us a little bit more update on the new products, and kind of what you've seen kind of in the end markets there? And then secondly, what is sort of a revenue level that is breakeven for you guys kind of on the adjusted EBITDA line?
Joseph Dowling: Mike, good afternoon, and thanks for joining the call. Well, let me take the first question, and then I'll turn it over to Joerg, and he can cover the breakeven question. The 3 new brands that we launched in really the second half and into late 2020 included our immunity line, our pet line and our pro line. And it's really too early to tell as we just recently launched all these new products. The one thing we can tell you is that we've received a lot of enthusiastic feedback, not only from our retailers and distributors, but also from consumers. And we know based on the initial feedback is it that we're confident on future in-store product placement and sell-through, and that's on the B2B side. And the same kind of feedback we're also getting from the DTC side. So we're optimistic about all 3 of those brands and their ability to gain traction. I did not include Happy Lane in that discussion. We think that Happy Lane being targeted specifically for the convenience store channel, is same type of feedback from distributors and retailers as well as initially from consumers. And as you heard from my remarks, we anticipate an announcement soon about distribution gains in the c-store channel with our Happy Lane, New Happy lane brand. So we're very, very optimistic. And what I can also tell you is that our product development team is already working on sort of the next wave of new products, some of which will supplement these new brands as well as our flagship brand PlusCBD. So I guess to kind of summarize, Mike, the feedback so far has been great. So one thing, just a little bit more color would be that typically for -- on the B2B side, there are twice a year product resets where you really cannot get on the shelf with any new products, except on this cycle that happens 2 times a year. That was somewhat disrupted by COVID-19. And so we expect that in 2021, we're going to get back to a more typical twice a year reset cycle with our retailers in the B2B side. So again, we think -- we're very optimistic about all 3 of the new brands that we launched, and are excited about the future potential.  And the second question, I'll turn over to Joerg, and he can talk about breakeven revenue.
Joerg Grasser: Yes. Mike, it's Joerg. When we -- in the first quarter of 2020, when we rightsized our business and when we took all the different measures, we modeled it based on a daily revenue run rate of about $120,000. $120,000 on a business day gets you to about $7 million, $7.5 million. So internally, that's our goal where we would like to get to cash flow breakeven.
Mike Grondahl: Got it. And guys, any comment on January, February or March? Any pickup in revenues from kind of the 3Q, 4Q level?
Joseph Dowling: Yes. So guidance is tough. We have a good sense of Q1. We think Q1 will be consistent with Q4. And then we expect to see some growth in Q2. We then think that the second half of 2021 will be better. We look at this, though -- we're in the weeds every single day. And every once in a while, we like to kind of look at macro data. And the macro data that we're all facing is that we're coming off the biggest economic contraction in over 70 years, where U.S. GDP fell by 3.5%. Putting this in spending terms, and I know you guys probably look at the same data, consumer spending by Americans during 2020 was about $12.5 trillion, which was about $0.5 trillion less than 2019 consumer spending. And the economists that we're kind of looking at seems all aligned on 2022 as the year where consumer spending recovers to where it was in 2019. So we think of 2021 as being kind of a reset year, one where we can start to get back to sequential growth, and we're fully expecting to be able to do that, but really positioning for a stronger 2022. And kind of to go back to your question about our brands and how they're doing, we think all that work that we did during 2020, really puts us in a position where we are well positioned from a brand, product and distribution standpoint. We're obviously very heavily focused on our DTC business, and are making good progress to scale our DTC channel. And on the B2B side, we think we're well positioned there as well. Joerg talked about the distribution growth. And during this time, we're looking to grow those relationships as we maintain the shelf space, and obviously, the relationship. So overall, as it relates to 2021 and beyond, we are optimistic. We're working to impact the areas where we can control things. And the areas we can't fully control, we're making sure to be impactful, including with FDA and Congress, and making sure we have a seat at the table, which we do. So yes, it's a tough time, but we're optimistic that we're well positioned to make it to the next level. And as the economy improves and consumer spending improves, we're also going to see improvement with our performance.
Operator: [Operator Instructions] Our next question comes from the line of Scott Fortune with Roth Capital Partners.
Scott Fortune: Just wanted -- you're still -- CBD is in a growing category. So we're seeing it grow year-after-year, quarter-after-quarter. Where -- are you seeing competitive environment coming down from maybe the Canadian LPs as more competition looks to get involved in the CBD space, and that market share, you have a tough time growing there? Or have we not seen enough consolidation? And just kind of help us understand your market positioning versus kind of the competitive landscape that's out there.
Joseph Dowling: Sure. Thanks, Scott. Yes. So we went from -- if you go back several years, there were maybe a handful of brands, half a dozen. And in the space of a couple of years that went to 3,000 plus. And so -- and then now you're seeing some of the Canadian LPs start to more than put their toe in the water and to develop their own CBD brands and multiple CBD brands in some cases. We really haven't seen the impact of the Canadian LPs getting into the market, yet. In some respects, we think it's a positive thing because the bigger players, we think are going to bring credibility to the space. We also think, and we know this because we're at the table with them with the various trade associations as well as with members of Congress as we work together to advance legislation and regulation. So we think, in some ways, it helps. We also think because of that, it's going to help to accelerate contraction and consolidation. So I think that it's too soon to kind of evaluate the market, where it's going. I mean we're looking at the same data that you are, I'm sure. Is this going to be a $10 billion or $15 billion TAM in the U.S. over the next several years? It looks like it will be. And so it's a significant market.  One of the things I guess we look at is as consumers kind of settled on a brand yet. And we think the answer to that is no. And one of the things that we look at, and this isn't something that is defined yet. But if you look at one of the key takeaways from 1 of the research groups that really does a deep dive on the CBD industry, one of the key takeaways that they made was brand loyalty is still up for grabs. And I thought that was a very interesting comment. And so yes, there are a lot of brands out there. There are a lot of small brands out there. I think all of us know they're not going to be here after a while. I think there will be further contraction, some consolidation. But I think that the trusted -- the brands that are out there, we're one of them. Are really going to be able to -- as the research says, be able to get a significant amount of that brand loyalty, which is up for grabs. So we're optimistic. I hope that's responsive to your question, Scott.
Scott Fortune: Yes. No, I appreciate that. That's helpful. And then just kind of shifting another way, you mentioned new product innovation, we need to kind of come on board to drive growth. You mentioned, obviously, the immunity side, the professional division, pet products. Kind of just step us through as you look out to 2021 on your new product development ramp and just kind of emphasis in some of those different channels or different product formats moving forward here?
Joseph Dowling: Yes. So it's really hard to break down by product, by channel at this point. I think, as I mentioned on the first question, we're optimistic on all the 3 new brands that we launched during 2020. We think that once we get into a more normalized sort of product reset, on the B2B side. And once we gain more traction on the D2C side that we're going to see all 3 of our new brands start to do quite well. We think the same is true for our brand refresh flagship PlusCBD brand. The Pro channel, we think, is a big opportunity that will be an emphasis for us this year. We think that with the COVID-19 shutdown, many practitioners were affected by that. And we think we're going to be able to penetrate that market effectively. So we're optimistic on all 3 of the new brands that we launched as well as brand refreshed flagship PlusCBD and ProCBD brands that we launched during 2020 as well.
Operator: Our next question comes from the line of Michael Lavery with Piper Sandler.
Michael Lavery: Just would love some color to understand the moving parts. I know you've talked about some of the new brand launches and the expansion in-store count in FDM, especially. But yet, this is -- it's the down quarter quite a bit versus last year and even sequentially, the lowest during COVID. It's all the way back to 2Q '17 before, there was one that was smaller. So where is the offset? What's the right way to understand all the moving parts? I'd assume even if the launches were mid-quarter, so it's not a full quarter of sales, wouldn't there be a benefit from pipeline fill. Can you just help maybe put all the pieces together for us?
Joseph Dowling: Yes. So it's not an easy answer, but there is -- I think one of your questions is there's a bit of a mismatch when you think about store count and revenue. And some of this is answered by the increase in FDM accounts, and we've made good progress with a couple of large FDM accounts during FY '20 and that Joerg talked about in his prepared remarks, but the mismatch between store count increase in revenue is mostly due to the fact that we shipped the products earlier this year to distribution centers, but it takes a while before they get from the D.C. to the shelf. And that was with a nationwide retailer. So that's the kind of sort of behind the scenes detail that you really need to have access to understand some of the ups and downs, quarter-to-quarter. In addition, in one of our regional FDM accounts, we only have a couple of SKUs. And so that had an impact. So all of -- those 2 factors sort of limited reorders with those retailers. But as I mentioned, the product reset cycle because of COVID was just appended. And it was also appended in the natural product retail channel for the same reason. And so our focus -- and going forward, that's part of your question, I think our overarching goal with all B2B retailers is to really to continue to build these relationships and grow them, but also really in some places to maintain shelf space, especially in FDM, with our topical products until FDM retailers are comfortable stocking adjustable products. But it's really -- it's product-by-product. It's channel-by-channel. It's regional, in some cases, Michael. It's -- there's a lot of moving parts, as you can imagine.
Michael Lavery: That's helpful color. Can you give a sense of, if there's the distributor or the wholesale layer of inventory, I imagine you have at least some visibility, even if it's estimates. Do you have a sense of where those levels sit now? And are they due to start replenishing? Are they still sitting on -- if you added x number of more stores, is that still going to be coming out of the wholesale layer? Or would you see that start coming out of your end?
Joseph Dowling: So I think generally, we're -- on the B2B side, we're seeing -- and we saw this throughout 2020. And I think it was really just consumer spending related and store closure related and pandemic lockdown related, but we saw less frequent reorders. And so I think we're going to start to see more frequent reorders as we work our way through 2021. I don't think there's any sort of excess inventory in the -- in our channels, which is a good thing. So we think that the opportunity, as spending picks up, consumer spending picks up as the lockdown starts to loosen up a bit, I would expect that we're going to see more frequent and larger orders coming through.
Operator: Our next question comes from the line of Gerald Pascarelli.
Gerald Pascarelli : My first one is just on, Joe, maybe your high-level thoughts on beverages as a CBD category. And I ask that in the context of kind of how innovative the team has been over the last 12 months and how active the Canadian LPs have been on CBD beverages, in particular, launching in the U.S. with some high-profile sponsorships. Any thoughts you could provide on beverages would be helpful.
Joseph Dowling: Thanks, Gerald. I hope you're well, too. Yes, we have watched some of the bigger Canadian LPs a couple of which, one of which has a significant distribution footprint available to them here in the U.S. and we think some of the products are very innovative. And we think based on some research that beverages could be a very exciting and big category for CBD. The regulatory side is going to be interesting. I don't know if those beverages are going to be considered to be a dietary supplement or if they're going to be considered to be a food. I would presume they're going to try to categorize them as a dietary supplement and -- for all kinds of both regulatory and legal reasons. And so that's sort of an uncertainty when it comes to the beverage market. I think that to get into the beverage space, and we've looked at it. It's important to -- the distribution is the key. And so that has to be in place, I think, for anybody to really be a significant player in that vertical.
Gerald Pascarelli : Got it. That's helpful. My next question is just on pricing. Can you remind us just from a cadence perspective, have you fully cycled your price decrease from earlier in the year? Or is that -- is there still some that is going to show up in 1Q? And then I guess in addition to that, do you think kind of where competition is, new entrants into the category? Where is the potential to take another price decrease next in -- at some point in 2021? Any color there would be helpful.
Joseph Dowling: Yes. We constantly monitor the market to ensure that our product pricing is competitive. It's so sales channel dependent and product line dependent. They're all a little different. I think there are opportunities to have maybe 3 different buckets of products as well as product pricing associated with that and might look something like a value product line, and we sort of think of our Happy Lane brand and product line in that bucket. And then I think there could be a premium bucket with premium pricing, it might be a little smaller in terms of the market size. And then I think there's going to be something in the middle. I don't think it's settled into those buckets yet, but I see that happening over time. And I think that we're sort of looking at the market and making sure that we have products that will be competitive in the channels that we're trying to distribute them in. And pricing is a real key component of any product development we do and how we're going to target those into what distribution channel. I do think there could be further price compression depending on the product category, if it's going to be value, kind of a mid-price or a premium. And then it's channel dependent, too. So I don't think there's a one-size fits-all answer to that question, Gerald. I think it's more complex. And I don't know what the mix of, say, value and a mid-price and a premium product line might look like yet. I think that's still evolving, and it will take a few years for that to be determined.
Gerald Pascarelli: Joe, that's helpful. Just one follow-up on the margin. Are you still -- are you cycling -- have you fully cycled the price decrease from last year? Or is that going to show up in 1Q and then the breakeven come 2Q?
Joseph Dowling: It's been fully cycled.
Operator: Ladies and gentlemen, we have reached the end of today's question-and-answer session. I would like to this call back over to Mr. Joseph Dowling for closing remarks.
Joseph Dowling: Well, I want to thank all of you for joining us today. We appreciate your support, and remain confident with our long-term growth opportunity. Please stay safe and healthy during this time. Thank you again.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation and enjoy the rest of your evening.